Operator: Good day, everyone and welcome to today's Oxford Industries Incorporated Third Quarter 2018 Earnings Conference. Today's conference is being recorded. At this time for opening remarks and introductions, I'd like to turn the floor over to Ms. Anne Shoemaker. Please go ahead, ma'am.
Anne Shoemaker: Thank you, Yolanda [ph] and good afternoon everyone. Before we begin, I would like to remind participants that certain statements made on today's call and in the Q&A session may constitute forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are not guarantees and actual results may differ materially from those expressed or implied in the forward-looking statements. Important factors that could cause actual results of operations or our financial condition to differ are discussed in our press release issued earlier today and in documents filed by us with the SEC, including the risk factors contained in our Form 10-K. We undertake no duty to update any forward-looking statements. During this call, we will be discussing certain non-GAAP financial measures. You can find a reconciliation of non-GAAP to GAAP financial measures in our press release issued earlier today, which is posted under the Investor Relations tab of our website at oxfordinc.com. Please note that all financial results and outlook information discussed on this call, unless otherwise noted, are from continuing operations and all per share amounts are on a diluted basis. Our disclosures about comparable store sales include sales from our full-price stores and e-commerce sites and excludes sales associated with outlet stores and e-commerce flash clearance sales. Because fiscal 2017 had 53 weeks, each fiscal week in fiscal 2018 starts and ends one calendar week later than in fiscal 2017. To provide a more accurate assessment of our fiscal 2018 comparable store productivity, we are presenting fiscal 2018 comparable store sales on a calendar adjusted basis by comparing the fiscal 2018 period to the comparable calendar period in the preceding year. Thus comparable store sales for the third quarter of fiscal 2018 compares sales in the 13-week period ended November 3, 2018 to the 13-week period ended November 4, 2017. And now, I'd like to introduce today's call participants. With me today are Tom Chubb, Chairman and CEO; and Scott Grassmyer, CFO. Thank you for your attention. And now, I'd like to turn the call over to Tom Chubb.
Tom Chubb: Thank you for joining us this afternoon to discuss our third quarter results and outlook for the remainder of fiscal 2018. We were very pleased with the strength exhibited by our branded business during the quarter which was a continuation of the positive trends we witnessed during the first half of the year. While our revenue came in slightly below our guidance range, the shortfall was primarily attributable to Lanier Apparel, and with this being our lowest volume quarter, swings and timing of demand are more magnified compared with the other three quarters of the year. Given this, I think it's worth spending a few minutes talking through the key drivers of the third quarter. As you know, our branded businesses; Tommy Bahama, Lilly Pulitzer and Southern Tide are quite seasonal and with our focus on spring, summer and resort, they do most of their business in the first, second and fourth quarters while the third quarter remains our smallest volume quarter, it includes the incredibly popular Lilly Pulitzer after-party sale which was a huge success this year in terms of revenue and margins. During this event Lilly's website goes on sale for 3 days only. This year after-party achieved record setting e-commerce sales of $29 million with a gross margin over 40% once again. This is an outstanding way to move end of season inventory and this amazing clearance strategy continues to support Lilly's higher than average operating margin. Beyond the after-party sale, Lilly Pulitzer delivered a strong 15% comparable sales increase in it's full priced direct-to-consumer channels and expanded their operating margin. Congratulations to the Lilly team on a quarter to be proud off. Tommy Bahama also delivered another solid quarter highlighted by a positive comp of 5% with particular strength in their e-commerce channel. Wholesale sales were lower year-over-year as planned driven by our deliberate earning of certain retail accounts. Importantly, operating results improved at Tommy Bahama with third quarter's progress driven by enhanced gross margin. Add Southern Tide to the mix, which is on-track to meet their top and bottom line growth objectives for fiscal 2018, and we are quite pleased with the overall positioning of our branded businesses as we entered the fourth quarter. Shifting to Lanier; you may recall that on our September earnings call we said there was going to be a significant shift in revenue at Lanier from the third quarter into the fourth quarter. The actual dollar amount that ended up moving was bit higher than our original plan. On top of this, Lanier experienced some unexpected softness in some of it's replenishment business which is continuing into the fourth quarter. So while we expect to have a large year-over-year sales increase in the fourth quarter at Lanier, we now expect the increase to be smaller than we previously planned resulting in a modest top line decrease for the full year. Finally, as it relates to third quarter profitability, our tax rate swung from a tax benefit in the third quarter of fiscal 2017 to an effective tax rate of 42% in the third quarter this year; this was higher than planned and higher than our full year tax rate projection of 26%. The third quarter tax rate is an outlier caused by some minor discrete items that ended up being more impactful than they normally would due to the lower level of taxable income we generate in our seasonally smaller third quarter. We are on-track to deliver solid growth for the fourth quarter and fiscal 2018 which is especially notable since we have one week less in the fourth quarter this year than last year. That said, we have tampered our fourth quarter comparable sales assumptions as demand in our direct-to-consumer channels has moderated versus third quarter levels. Trends at both, Tommy Bahama and Lilly Pulitzer are running below our initial expectations with Lilly off more than Tommy due to greater pressure on e-commerce sales through the first 6 weeks of the fourth quarter. We now expect comparable sales to increase in the low single-digits and we have seen some continued softness in the wholesale replenishment which along with our third quarter results has been factored into our updated full year outlook. As we sit here today, we have more than half the fourth quarter still ahead of us, that includes very important holiday selling, resort selling and early spring deliveries of the wholesale. Looking at the calendar in a bit more detail with Christmas falling on Tuesday this year, that means shoppers still have two full weekends and Christmas Eve on Monday to shop before turning their attention to enjoying the holiday with their family and friends. In addition, New Year's also falls on Tuesday. With both Christmas and New Year's falling on Tuesday, many people will take either one or both of the full weeks off and spend it in markets like Florida, Hawaii and the dessert [ph], all of which are very important to us. And our fiscal year does not end until February 2. The point of all this is that we have a lot of opportunity to do business between now and the end of the quarter. So as we head into the final stretch, our incredible team of dedicated people is laser focused on delighting our customers with outstanding products and memorable experiences. I'll now turn the call over to Scott Grassmyer for a bit more on our third quarter results and more details on our guidance for the remainder of the year. Scott?
Scott Grassmyer: Thanks, Tom. I'll first touch on gross margin and our balance sheet before discussing our outlook for the rest of the year. Our adjusted gross margin in the third quarter expanded 160 basis points to 55.3% from 53.7% in the same period of the prior year. This was primarily due to a change in our sales mix with the higher margin branded businesses making up a greater proportion of sales than in the same period last year. Also, we saw gross margin at Tommy Bahama expand in both it's direct-to-consumer and wholesale businesses. Our balance sheet and capital structure remained very strong and support our growth initiatives and investments. We saw our inventory balance increase to $138 million from $127 million at the end of the third quarter last year. The increase was due to the shift in timing of some Lanier Apparel shipments and planned increases in our direct-to-consumer businesses in the fourth quarter. We also ended the quarter with $225 million of unused availability under our revolving credit facility. Now onto our outlook for the remainder of the year. We 7 weeks ahead of us which include a key holiday shopping period followed by our important resort season. As Tom mentioned, based on what we have seen today, we have reduced our comp assumptions from high single-digit increases to low single-digit increases, and reduced our wholesale replenishment expectations. We expect sales in a range from $297 million to $307 million compared to net sales of $293 million in the fourth quarter of fiscal 2017 which was a 14-week quarter. On adjusted basis, earnings per share for the fourth quarter are expected to be in a range of $0.96 to $1.11, up from $0.93 last year. For the full year fiscal 2018, we expect sales to grow between $1.106 billion and $1.116 billion compared to $1.086 billion last year. Adjusted earnings per share is expected to be between $4.20 and $4.35; this compares to fiscal 2017 earnings on the adjusted basis of $3.56 per share. Our interest expense expects to be approximately $2.5 million and our effective tax rate for fiscal 2018 is expected to be approximately 26%. Capital expenditures including $31 million in the first nine months of fiscal 2018 are expected to be approximately $45 million, primarily reflecting investments in information technology initiatives, new retail stores and restaurants, investments to remodel and relocate existing retail stores. Free cash flow for fiscal 2018 is expected to be approximately $50 million. Finally, our Board of Directors has approved a quarterly cash dividend of $0.34 per share. Oxford has paid a dividend every quarter since becoming a public company in 1960. Yolanda [ph], we're now ready for questions.
Operator: [Operator Instructions] And our first question will come from Edward Yruma with KeyBanc Capital Markets.
Edward Yruma: I guess first on the comp weakness, I know you guys had some pressures in e-com; so you could talk a little bit about comp product acceptance? Are you seeing kind of particular pockets of weakness within certain product categories? And then as a follow-up to that, regarding inventory levels, do you expect that you will need to be more promotional in the fourth quarter given some of the comp slowdown? And I did notice that like Lilly has a per month [indiscernible] which I think is somewhat unusual.
Tom Chubb: So let me address the comp sort of in totality to help you figure out what's going on there. If you look at what we're doing to our forecast for the fourth quarter, there is a piece of it that's wholesale and that's that sort of softer replenishment business that we talk about hitting Lanier in the third quarter and we're seeking some softer wholesale replenishment in the fourth quarter. And then on the comp piece, you really have to break it into the Tommy part and the Lilly part. And as you know, we had a very aggressive high single-digit comp assumption built into the fourth quarter in our last forecast and what we've seen since then in Tommy is that they had a very good November, they enhanced their marketing activities for the month of November versus last year and it worked. They probably were a little lighter on marketing in the first couple of weeks of December and that's where we started to see some softness in our comps. There are still -- it's not like the bottom is dropping out, they are just not as strong as they were; so for purpose sets of forecasting, December is 50% of the quarter in Tommy Bahama and we felt like we had to sort of look at the most recent history and run that out through December and that's where a big piece of the reduction and the comp assumption is coming from. The other piece is really in Lilly Pulitzer e-commerce and there are sort of two things that are going on there; the first is that as you know, and in December we do two big gift with purchase sort of events in Lilly Pulitzer, one is the Lilly Pulitzer's birthday event during the earlier part of November and then the Cyber Five sort of gift with purchase event starting on Thanksgiving Day and running through Cyber Monday. Neither of those performed as well as we would like them to, and as well as we had planned which created a little bit of a hole. In Lilly, November is as big as December and about price what January is; so that created a bit of a hole that's going to be -- it's going to be hard for them to overcome. And then the second thing that's going on in Lilly Pulitzer with e-commerce is as you know, we replatformed in Lilly Pulitzer earlier this year, we're very pleased with the technology but in terms of the way we've set up that website and the way it's operating, we've got some bugs that we still have not worked out that we believe have negatively impacted the shoppability of the website. We're hearing that from our customers, some of our own employees who shopped the side ladder telling us the same thing and that's kind of weighing on e-commerce. We think we've got a plan, we're working on the plan but that won't all get corrected by the end of the fourth quarter. So that's really where we're coming from in reducing the comp assumption, it's really not about lack of product acceptance or lack of -- sort of consumer enthusiasm overall.
Operator: [Operator Instructions] We'll go next to Susan Anderson with B. Riley FBR.
Susan Anderson: I guess just a follow-up on the previous question on Lilly; you had mentioned, I guess we've purchased wasn't as strong as expected. I guess, are there any thoughts around why it would have been weaker, it doesn't sound like you feel like there is a lack of product acceptance. So maybe if you could just give any color around why it would be weaker? And then on Southern Tide, if you could maybe give some color; it looks like the growth there had slowed a little bit in the quarter?
Tom Chubb: First of all, thank you for mentioning the quarter, we were proud of the third quarter, if you look at it, it was good for Tommy with a good strong comp, improved gross margin and improved operating results. And Lilly, we had top line growth and unbelievable after-party sale, you had a strong comp that's on top of that for party sale, after-party does not get included in the comps so that comp was in addition to after-party and then an improved operating margin in Lilly. So it was a good third quarter. In terms of what didn't work with the gift, we have purchase events, obviously we're studying that very, very closely Susan. I think you know that those are sort of tiered [ph] events if you will where you get different gifts at different levels. And I think we believe that part of what we probably could have improved upon or can improve upon in the future is making the guess at various levels, more compelling for what the level is. A second issue that was true with respect to Lilly's birthday in early November is we did that the same weekend as we were doing the grand opening of our beautiful new store on Worth Avenue in Palm Beach which is the birthplace of the Lilly Pulitzer brand, and we think the message got a little lost about the gift with purchase event. There was so much excitement just viably about the opening of Worth Avenue that we believe that the message might -- about the gift we've purchased event might have gotten a little bit lost in the mix there. And then as you moved to the Cyber Five event, I think you have the additional factor of -- people started their promotional events very early this year, a lot of people started Monday of that week as opposed to waiting till Thursday or Friday. And I think to be very direct about it, some very high quality brands that you wouldn't think would do it went straight to 30-off everything and that's a challenging environment in which to communicate. So we're looking at all that, now obviously that will all factor into our plans for next year.
Susan Anderson: And then on Southern Tide, also.
Tom Chubb: Yes, I'm sorry. On Southern Tide, look, third quarter is not Southern Tide's natural strength. So the fact that it doesn't look like it's a big growth quarter, I wouldn't take as indicative of momentum at all or ability to growth. I think with them you've got -- they are much more a first half business, a spring-summer business, and I think by the end of the year we will have achieved our growth targets, both top and bottom line for them and then we believe we're set up well to continue that in fiscal 2019. So not that we wouldn't love to do more business in the third quarter and not that we're not working on ways to do that. So we're not concerned about it.
Scott Grassmyer: And they were right on plan, right on our internal plan for the quarter.
Susan Anderson: And then if I can follow-up too on the wholesale channel, you had mentioned it, the replenishment have been weaker if you had any thoughts around -- I guess, why it's been weaker and is this related to the major department stores?
Tom Chubb: Yes, I mean most of the replenishment programs are run through what we would call majors, whether they are technically department stores or not, and to be honest, it's a little bit of an enigma to us because our selling in this is across all the brands really and the majors has been quite, quite good. So the biggest piece of replenishment business is in Lanier clothes and their sell-through's have just been off-the-chart. So it seems like for whatever reason, the big retailers are just sort of stepping on the inventory breaks a little bit but we don't think it's related to the health of our particular brands or products within those retailers. And that means that generally it will come back fairly quickly.
Susan Anderson: And if I could follow-up just -- I'm not sure if you mentioned or I may have missed it on the gross margin, just thoughts around fourth quarter; you guys had a pretty good gross margin expansion for the third quarter but I guess with the lighter sales, how should we expect that to pan out?
Tom Chubb: Yes, in Lanier we'll have year-over-year growth in the fourth quarter where Lanier was at a decrease year-over-year in the third quarter. So that will play on our consolidated gross margins. I think our consolidated gross margins might be backwards a little bit but they are really mixed with Lanier being stronger year-over-year, less than our earlier plan but still a pretty significant increase year-over-year at Lanier. So in a way, Lanier is a very low margin business in a way, every year on mix [ph]. But for the year, we still should have some nice gross margin expansion but fourth quarter, the consolidated might be backwards just a little bit due to mix.
Operator: [Operator Instructions] We'll hear next from Michael [ph] with DA Davidson.
Unidentified Analyst: Just on the wholesale side and in your pruning of those, do you expect that trend to continue into next year? And was that some of the unexpected [indiscernible] as well, or was it mostly all on the Lanier replenishment side?
Tom Chubb: Our softness really versus I guess our previous forecast was mostly about replenishment and I think we don't really have the numbers for next year yet, we don't have our budget yet but I don't know but we're anticipating a big step back in the wholesale for next year.
Scott Grassmyer: I think we dropped earnings pretty much for this for the most part.
Unidentified Analyst: And then just on the hurricane this year, it seems like maybe less impactful than last year, is that fair to say? And just any commentary around the doors that were impacted this year?
Tom Chubb: Look, first of all as is always the case in these scenarios, our first concern is about the well-being of our employees and our customers in those places, and obviously fortunately, I don't think we had any big problems with employees but a lot of people were negatively impacted by those hurricanes but in terms of our business, just given the time of year and where those hurricanes happened, we did have a fair number of store closing days, but they happened during a timeframe that's a pretty small business time of year. And I don't think there was any real discernible impact on our business. We -- I don't think there is anything that we'd call out, it just didn't amount that much. I'm sure we lost a few dollars but nothing material.
Operator: Our final question today will come from [indiscernible].
Unidentified Analyst: As you unpacked this third quarter and think about dimensionalizing [ph] it for the fourth quarter and going into 2019, how do you think about inventory levels, were they are now, how you're thinking about planning them for '19? And what are you seeing on supply chain? And lastly, with the operating margin at Tommy Bahama, and the focus on supply chain initiatives, flow of goods moving through the outlet channel and optimizing expense management, would occur in state of where Tommy is or Lilly is? How do you see the opportunity for margin improvement going forward? Thank you.
Scott Grassmyer: On inventories here, we're little higher year-over-year but some of that is some of the Lanier shift where Lanier should have a bigger quarter in the fourth quarter. Not so we would expect to have a bigger Lilly flash clearance sale in January, you know we have two of them in a year and one was in September and the other one's in January and we expect that to be bigger year-over-year. So we think about the time we get -- being at a year we think our inventories will be more comparable year-over-year than they are right now.
Tom Chubb: You want to talk about the gross margins?
Scott Grassmyer: Tommy, you know, we've had some nice progress on gross margins this year, we had lot of initiatives, some was around some selected price increase, some were around -- some negotiations with vendors and getting some input cost down. We also -- we did I think a good job cleaning up that clearance channel where our outlets are performing at a higher gross margin. So we think all that can carry over into next year, we think we're set up well, the Tier of clouds is still out there but our categories have not been named yet and hopefully this thing settles and if that comes, we have plans to ship some production to offset it. And we have -- we expect factories to work with us and we might have to take some select price increases but we don't see a long-term negative impact, there might be a little short-term but we think we can mitigate most of that. So we think we're set up very well in Tommy to continue to work on the gross margin expansion.
Operator: Thank you. That will conclude our Question-and-Answer Session for today. I'd now like to turn the call back to Mr. Tom Chubb for any additional or closing comments.